Operator: Good day, ladies and gentlemen, and welcome to The Toro Company's First Quarter Earnings Conference Call. My name is James, and I will be your coordinator for today. [Operator Instructions]. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's conference, Heather Hille, Director of Investor Relations and External Communications for The Toro Company. Please proceed, Ms. Hille.
Heather Hille: Thank you, and good morning. Our earnings release was issued this morning by Business Wire, and a copy of the earnings release, including a reconciliation of non-GAAP financial measures, can be found in the Investor Information section of our corporate website, thetorocompany.com. On our call today are Rick Olson, Chairman and Chief Executive Officer; and Renee Peterson, Vice President, Treasurer and Chief Financial Officer. We begin with our customary forward-looking statement policy as well as information regarding non-GAAP measures. During this call, we will make forward-looking statements regarding our business and future financial and operating results. You all are aware of the inherent difficulties, risks and uncertainties in making predictive statements. Our earnings release as well as our SEC filings detail some of the important risk factors that may cause our actual results to differ from those in our predictions. Please note that we do not have a duty to update our forward-looking statements. Our earnings release and this related call contain certain non-GAAP measures consisting of adjusted net earnings, diluted net earnings per share and effective tax rate as financial measures of our operating performance. The company believes these measures may be useful in performing meaningful comparisons of past and present operating results to understand the performance of its ongoing operations and how management views the business. Reconciliations of adjusted non-GAAP measures to reported GAAP financial measures are included in the schedule contained in our earnings release. Such non-GAAP measures should not be considered superior to, as a substitute for or as an alternative to, and should be considered in conjunction with the GAAP measures presented in our earnings release and this related call. With that, I will now turn the call over to Rick.
Richard Olson: Thank you, Heather. Good morning to all our listeners. Fiscal 2018 is off to a good start with record first quarter sales. While the first quarter is traditionally a smaller one, we are pleased to have delivered strong results, including record net sales of $603 million, an increase of 10%, and net earnings of $59.5 million or $0.55 per share. Adjusted net earnings for the quarter were $55.2 million or $0.51 per share compared to adjusted net earnings of $52.1 million or $0.48 per share in the comparable 2018 period, an increase of 6.3%. Our professional sales grew 12.7% due to strong demand for our landscape contractor, golf, sports fields and grounds and BOSS snow and ice management products. Residential sales were up 1.9% for the quarter due to higher shipments of snow throwers and walk power mowers. Sales increases in both segments also benefited from pricing actions that partially offset inflationary pressures. Following a brief commentary on our businesses, Renee will discuss our financial and operating results in more detail. First, our landscape contractor equipment alliance experienced solid first quarter retail and channel demand across our zero-turn riding offering, especially our Radius and Lazer models. Shipments of intermediate walk behind mowers also contributed to the strong quarter results. Next, our golf and sports fields and grounds businesses delivered solid results for the, quarter driven by channel demand as distributors prepared to fulfill their strong base of customer orders. Shipments of Groundsmaster mowers and Workman utility vehicles led the way. We were honored to send a crew and equipment to Atlanta's Mercedes-Benz Stadium to once again help prepare the field for the Super Bowl. Our fleet of maintenance equipment, vehicles, Pro Force blowers and sensing technology enabled the field managers to address specific needs to optimize the playing surface for the big game. We also enjoyed very successful appearances at the recent STMA and Golf Industry Show. We will highlight some of the exciting new products we unveiled during the shows later in the call. Another strong first quarter performance was turned in by our BOSS team. New products, including our Stainless Steel XT V-Plow, Exact Path drop spreader and the rear-mounted plow were particularly well received. The Snowrator from the L.T. Rich acquisition also contributed to the positive results for the quarter. Innovation and the continuous improvement of BOSS products resonate with our customers. Turning to our rental and construction business. Shipments to construction equipment dealers were up for the quarter as their independent contractor customers who enjoyed steady work last year invested in new equipment to update their fleet for the coming season. The release of the new TXL 2000 contributed to the positive result. However, the rental business experienced a slowdown during the quarter as severe winter temperatures had a negative impact on equipment usage. Shipments were also affected by some customers deciding to take their large fleet orders in the second quarter instead of in the first as they have in the past. Following last week's announcement, the teams from Toro and Charles Machine Works' Ditch Witch organization were extremely busy during this week's American Rental Show. The prospects of our joining forces generated high levels of excitement in both companies booth and throughout the conference center. Our irrigation and lighting business enjoyed similarly successful reception at both the golf show and Irrigation Association show. Golf project sales remained strong during the quarter, while other irrigation segments faced unfavorable weather conditions. Conversely, weather had a favorable impact on our residential business. Recent snowfalls fueled strong demand for snow throwers. Our team effectively executed strong shipping strategies to capitalize on rapidly developing retail opportunities. Residential sales for the quarter were further bolstered by solid sales of our walk power mowers. Finally, the international business saw mixed results across businesses and regions. Our international team benefited from strong demand for golf and grounds equipment in golf irrigation products in certain regions. Customer interest in our new Outcross, Groundsmaster 1200 and ProLine H800 remained high. However, regional weather pattern and currency headwinds tempered our international business results. I will now turn the call over to Renee for a more detailed discussion of our financial results.
Renee Peterson: Thank you, Rick, and good morning, everyone. As we reported earlier this morning, net sales for the quarter increased 10% to a record $603 million compared to $548.2 million for the same period a year ago. We delivered net earnings of $59.5 million or $0.55 per share compared to net earnings of $22.6 million or $0.21 per share in the first quarter of fiscal 2018, which was significantly impacted by tax reform. Adjusted first quarter net earnings were $55.2 million or $0.51 per share, which represents an increase of 6.3%. This includes a $0.03 impact related to acquisition expenses for Charles Machine Works and a distributor partner. Please refer to the tables in our earnings release for reconciliation of non-GAAP adjusted net earnings and adjusted diluted earnings per share to the comparable GAAP measures. Professional segment sales grew 12.7% for the quarter to $455 million due to strong performances across many of our businesses. Professional segment earnings for the quarter totaled $88 million, an increase of 15.9% compared to $75.9 million a year ago. Our residential segment sales for the quarter increased 1.9% to $145.2 million. Domestic residential sales grew 6.6%, which were offset by weather and currency-related decline of 10.7% in international sales. The overall positive results were driven primarily by increased retail demand for snow products and channel demand for walk power mowers. Residential earnings for the quarter totaled $13.1 million, down 16.8% from $15.7 million last year. The decline was caused by negative commodity and tariff costs, somewhat offset by strategic pricing and productivity actions. Now to our key operating results. First quarter gross margin decreased by 150 basis points to 35.8% due to increased commodity costs, tariff-related expense and the expected negative impact of accounting for the acquisition of one of our distributor partners. The decrease was somewhat offset by pricing and productivity improvements. The company continues to expect year-over-year gross margin improvement for fiscal 2019, primarily in the second half of the year. SG&A as a percent of sales decreased 90 basis points for the quarter to 24.2% due to the leveraging of expenses over higher sales volume, despite acquisition-related expenses. Operating earnings as a percent of sales were 11.6% for the quarter, a decrease of 60 basis points compared to 12.2% in the same period last year. Interest expense for the quarter finished down slightly. The effective tax rate for the first quarter was 15% compared to 66% last year. The first quarter in fiscal 2018 was significantly affected by the onetime impact associated with tax reform. The adjusted tax rate for the quarter was 21.2% compared to the adjusted tax rate of 21.5% in the same period last year. For fiscal 2019, the company continues to anticipate that its adjusted effective income tax rate will be about 21.5%. Turning to the balance sheet. Accounts receivable for the quarter totaled $225.5 million, up 13.5% from a year ago as a result of increased sales. Net inventories for the quarter were down 5.2% to $416.7 million. This decrease was mainly due to increased sales and inventory management initiative. First quarter trade payables increased 5.6% to $281.5 million. At the end of the quarter, the company's 12-month average net working capital as a percent of sales was 13.5% compared to 13.7% a year ago. We repurchased over 359,000 shares of common stock during the quarter and have approximately 7 million shares remaining in our repurchase authorization as of quarter end. In anticipation of closing on the Charles Machine Works acquisition, we plan to curtail share repurchases for the remainder of fiscal 2019, as we focus on debt repayments in the near term. I will now return the call to Rick.
Richard Olson: Thank you, Renee. We are enthused about our prospects for fiscal 2019 and beyond based on our strong first quarter performance, long-range strategic plans and our announced agreement to acquire Charles Machine Works. Beginning with our landscape contractor business, early indications suggest strong demand for our products among landscape contractors and large acreage owners. We expect our broad line of zero-turn riders to continue to generate strong demand. The recent snowfalls mean increased contractor revenues from plowing for investments in spring equipment The outlook is also very positive for the golf and sports fields and grounds businesses. R&A, the U.K. equivalent of USGA, recently released their 2019 Golf Around the World report that identified over 500 new golf course construction projects around the world that are either underway or in advance planning, which is nearly 30% more than the number of new courses opened in the last 4 years. Furthermore, park and municipal biz remains active, and our expanded sales resources are pursuing the full range of sports fields and grounds growth opportunities. Positive attitudes were prevalent among our many visitors during the FTMTA Show in January and the Golf Industry Show earlier this month. While customer interest in our Outcross and Groundsmaster 1200 introductions from a year ago remains high, we created more excitement with new introductions unveiled these past two months. These include the all-new Greensmaster 1000 series of fixed head greensmowers equipped with several patent-pending features; eTriFlex all-electric riding greensmower; new Groundsmaster out-front rotary mowers offering two engine and cutting width options; and productivity and control enhancements to ProStripe walk-behind mowers that deliver premium stripped finishes that are highly valued by professional venues. Innovation and productivity are also keys to our BOSS snow and ice management business. Favorable weather conditions are expected to continue in the short term, which should help wound out this already successful season and set the stage for a solid preseason booking program. Improvements made prior to the season on the Snowrator were well received by contractors looking to expand their fleet capabilities. Continued refinements on the Snowrator should help contractors increase productivity through more efficient means of clearing sidewalks. Next, positive economic trends should support ongoing construction and infrastructure spending, creating favorable conditions for our rental and construction business. Industry groups forecast continued growth in construction spending as evidenced in the 52,000 new construction jobs recorded last month. The TXL 2000 compact utility loader has garnered a number of industry innovation awards. It once again drew a lot of attention at the American Rental Association Show that ended yesterday. Among other innovations on display was our prototype of the e-Dingo, an electric compact utility loader that is under development. The e-Dingo demonstrates our commitment to creating innovative solutions for our customers. Our irrigation team also unveiled exciting new innovations during the recent shows, including the Lynx 7.0 Central Control system that provides significant advancements in precision, speed and dependability. The 7.0's improved monetary and diagnostics save operators considerable time, while delivering unprecedented precision in controlling system run time and efficient water usage. The outlook for the business is encouraging as golf projects remain strong. Moving to the residential segments. We are taking advantage of retail opportunities generated by recent snow in key markets and anticipate strong preseason bookings later this fall. We expect our latest rider and walk power mower advancements to perform well at retail this spring. If we enjoy a more normal arrival of spring compared to last year's late start, we anticipate residential sales will deliver a larger share of our second quarter revenues. There are also positive indicators for our international business on a regional and market basis. Demand for golf and grounds equipment and irrigation solutions will likely lead the way. We are launching new irrigation controllers this quarter, and our orders of current products are particularly strong. Other promising international product launches include the previously mentioned greensmowers, the ProStripe, the GrandStand with rear discharge decks and a new line of Hayter Harrier mowers. We also expect the launch of the successful ProLine H800 and Outcross in additional regions. Market share gains are also anticipated in the zero-turn category as the MyRIDE feature is setting us apart. Finally, we are extremely excited about our planned acquisition of Charles Machine Works. It should prove to be one of the most transformative events in our history due to its dramatic long-term expansion of our underground construction business. The people of Charles Machine Works Enterprise and their commitment to innovation and exceptional customer care are key to the attractiveness of this acquisition and the significant growth potential it represents. We believe it will mark an important milestone in our company's long legacy of excellence. In conclusion, we feel we are poised to deliver another successful year for all stakeholders. We recognize that the unexpected could pull those challenges to our plans and are prepared to take appropriate action. I want to thank our employees and channel partners for their hard work that enabled us to achieve strong first quarter result. Their ongoing support is critical to helping us drive profitable growth. Assuming the acquisition of Charles Machine Works closes in the third quarter, we expect adjusted earnings per share of $1.15 to $1.20 for the second quarter. This includes an estimated $0.07 for the impact of acquisition-related expenses and share repurchase curtailment. These items are in addition to the $0.03 of acquisition expense incurred in the first quarter. This results in an adjusted earnings per share estimate of $1.66 to $1.71 for the first 6 months, which equates to operational performance of $1.76 to $1.81, excluding acquisition-related expense impacts. We expect our -- we expect to update our guidance at/or after the closing of the acquisition. This concludes our formal remarks, and we will take questions at this time.
Operator: [Operator Instructions]. Our first question comes from the line of Tim Wojs with Baird.
Timothy Wojs: So I had a couple of questions on professional. I guess, maybe the first, was -- did -- was price able to offset cost inflation in that segment in the quarter? I'm just trying to maybe decipher the price cost relative to maybe the mix impacts that you might have seen in the first quarter?
Renee Peterson: Yes. What we saw is much stronger price than we had seen in the fourth quarter. That's the combination of price and productivity for professional, and this will be true for the enterprise as well, was not -- did not totally offset what we saw from a cost standpoint for the quarter. We continue to believe that gross margins will improve for the year year-over-year, but we're expecting to see more of that improvement in the second half. And that really relates to just when commodities move to last year in reaction to the tariffs and other inflationary pressures and then the realization of price from a total year standpoint.
Timothy Wojs: Okay. And is there any center -- is there sort any of, like, prebuy or anything ahead of any price increases that you guys have implemented in professional?
Richard Olson: No. I mean, as we've talked about many times, we have to look across the quarter, so the mix changes a little bit between the first and the second quarter between residential and commercial, but nothing that would be along those lines. We feel good about our field inventory. Residential field inventory is actually down year-over-year. And we feel good about the first half of the year, in total.
Timothy Wojs: Okay. Great. And then just on the buyback, I mean, any just added color on what you mean by curtailment? So will you just not buy back stock or you just buy back a little or not?
Renee Peterson: Yes. I mean, we will focus on paying down debt, assuming we go forward and we close on a timely basis on Charles Machine Works acquisition, which is our intent. So we'll focus on paying down that debt, but -- so it would be at a lower amount for the year.
Operator: Our next question comes from the line of Sam Darkatsh with Raymond James.
Samuel Darkatsh: I've just got two housekeeping questions and then maybe a follow-up. So the 3 -- in the quarter just reported, the $0.03 of deal-related cost, I'm guessing that was shown on the P&L within the other line, but is that accurate, Renee? Or did that show up in one of the operating segments?
Renee Peterson: No, it would have all been in other -- it's on a couple of different P&L lines, but all within other.
Samuel Darkatsh: And I'm guessing that continues in Q2 with the $0.07, at least, of a portion of that constitutes deal-related costs.
Renee Peterson: Yes, it would.
Samuel Darkatsh: Okay. Second question. I know you didn't update guidance because I'm guessing there's a whole lot of moving parts around deal-related costs and the timing of closing and share repurchase curtailment and all that. But from an operating standpoint, would there be any reason for us to think that guidance for the year has been changed from where you were 2, 3 months ago, Rick?
Richard Olson: There's no change on our underlying operating expectations for the year. And you're right, there are some complications that you have to do a little map on. But fundamentally, if you take those away, the year is playing out as planned. And we feel good about the year. So we're -- we would reiterate our underlying operational performance.
Samuel Darkatsh: And then my final question before I'll defer, and this is the perfunctory question that we all have to ask, I guess, for all companies, and that's tariffs. So if the 25% tariffs do go in March 1, is that a negative to your guidance? And if they are pushed out or do not occur, is that a positive to your guidance? How much of it is reflected in your formal expectations that are given to us? And how should we think about our models as things are pretty fluid right now?
Renee Peterson: Yes, we have assumed that there'll be -- some of that included, but not the full amount. So we're not expecting a step change necessarily in tariffs. And another thing that we have included in our guidance going forward and is forecasted and we're starting to see is the -- kind of the decline in some of the base commodity cost as well. Steel is up of its peak, and as forecasted and as we expected. So we are seeing that come down and have included that as well on our guidance.
Samuel Darkatsh: So to rephrase or, at least, to make sure I'll understand it, if the 25% tariffs do go in, that would be an incremental negative, at least, until you were to offset those from various positions. Is that right?
Renee Peterson: Yes. The tariffs are actually not that impactful, the tariffs themselves to us. What we've stated before and continue to see is some of the inflation you're seeing, I think, is tariff related, but it's not necessarily the tariffs themselves. So not a lot of the products that we're purchasing are we seeing a direct tariff on. We are seeing commodities go up related to it. But the tariffs themselves, they're fairly modest impact to us.
Operator: Our next question comes from the line of David MacGregor with Longbow Research.
Robert Aurand: This is Rob Aurand on for David today. I was hoping to dig in on some of the new products. You announced the new all-electric greensmower. There's obviously a lot of interest around electronics. How could we see that trickle down to other parts of your business?
Richard Olson: Yes. As we talked about in the past, we've had an emphasis in technology on alternative energy opportunities. Certainly, the lithium ion technology is leading, but also hybrid opportunities in our golf business. We've talked about it in the past. We mentioned briefly in the prepared remarks the e-Dingo. That would be an example of that and surprising amount of experience -- or excuse me, interest in that. So alternative energy, smart and connected products, the Outcross is a great example of that, combination turf tractor and utility vehicle that has a lot of the intelligence that is needed to operate it built into the machine and requires much less training from an operator standpoint. And lastly, it has been autonomous, which we really see as part of the future as well. We see all of those as leverage across our entire business. So the complexity of delivering an all-electric greensmower -- TriFlex riding greensmowers that is usable across an entire golf course is a very significant feat to be able to do that. Does that cause a benefit for us as we look at residential application? Of course, it does. So we really see the opportunity. You talked about a trickle down, but in some cases, it's a trickle up. But in all cases, it's a leverage across our whole business, and we're working to do a better job of leveraging across our businesses.
Robert Aurand: Okay. And just on the Outcross. Is there any numbers you can share on that? I mean, is that, from what you're talking to people, worked into people's budgets here earlier in the year? Are you still expecting that to be more demos early and not really show up till the end of the year?
Richard Olson: We are starting to see the sales. It's a large ticket item. So the process -- the sales process takes a while. But I'll say, actually, it's ahead of our expectations for our large machine like that. And we're just seeing surprising responses from areas that we really hadn't thought about as target customers necessarily. Sports fields, in particular, have been interested, but the golf sweet spot is -- looks like it was a great hit on target there.
Operator: I show no further questions in queue, so I will now turn back over to Ms. Hille for closing remarks.
Heather Hille: Thank you, James. Thank you for your questions and interest in Toro. We look forward to talking with you again in May to discuss our second quarter results. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Everyone, have a wonderful day.